Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 2021 BlackLine Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to your host Barry Hutton, Investor Relations with The Blueshirt Group. You may begin.
Barry Hutton: Good afternoon and thank you for your participation today. With me on the call is Marc Huffman, Chief Executive Officer of BlackLine; and Mark Partin, Chief Financial Officer. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts, including those regarding our future plans, objectives and expected performance, in particular, our guidance for Q4 and the full year are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this call. While we believe any forward-looking statements we make are reasonable, actual results could differ materially because the statements are based on our current expectations as of today and are subject to risks and uncertainties, including those stated in our periodic reports filed with the Securities and Exchange Commission, in particular, our Form 10-K and Form 10-Q. We do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable law. Also, unless otherwise stated, all financial measures disclosed on this call will be non-GAAP. A discussion of why we use non-GAAP financial measures and information regarding reconciliations of our GAAP versus non-GAAP results is currently available in our press release, which may be found on our Investor Relations website at investors.blackline.com or on our Form 8-K filed with the SEC today. Now I will turn the call over to Marc to begin.
Marc Huffman: Good afternoon, everyone and thank you for joining us today. Q3 marked another strong quarter, as demand for digital transformation within the CFOs office continued to increase. We've seen improving demand over five consecutive quarters and it now exceeds the pre-pandemic levels of 2019. Companies are emerging from the pandemic with a greater sense of urgency to upgrade outdated back office systems. And we believe this is the beginning of a long-term investment cycle to modernize financial and accounting systems. Within this environment, our team delivered another great quarter of execution as we helped our customers modernize their back office to thrive in an increasingly challenging work environment. Let me describe our ability to meet the customer demands and needs across key segments and geographies. To serve our current customers, we're continuing to innovate on our platform and invest in our customer facing teams. We're driving greater customer engagement and further expanding the capabilities of our market leading platform. As a result, we're seeing accelerated expansion from our install base of over 3700 global customers. In Q3, our net dollar retention rate kicked up to 108% compared to 107% a year ago. Our successful land and expandability is demonstrated in our experience with a fortune 100 food and beverage company headquartered in North America, that first became a BlackLine customer in 2016. At that time, they began their journey with account reconciliations. They're found foundational step was to simply leverage reconciliations without some of the other platform capabilities to drive greater efficiencies. Four years later, they embarked on a corporate wide initiative for finance and accounting transformation, which included close acceleration. The customer value BlackLine's investment in customer success and set our guidance to drive greater efficiency in calculating and booking journal entries, as well as managing the close. As such they determined BlackLine to be a critical part of their strategic plan and purchased automated journals and task management to drive efficiency and unify processes across their close. The team has now identified more use cases to leverage automated journals, There are ongoing discussions with this customer for future expansion across the rest of our platform, including intercompany hub is their controller deem that to be a resolution to a key issue. Our success landing large global enterprise customers continued in the third quarter. Large companies around the world are embracing digital finance transformation to increase capacity, improve visibility, and remove risk from their financial close. Our message is really resonating with companies who are looking to adopt lean, modern accounting. In Q3 with the help of our partner ecosystem, we added a record number of new, large, high-quality logos. Our ability to serve the largest and most complex organizations around the world continues to serve as both a competitive differentiator and a durable growth lever for BlackLine. Our experience with a large North American Pharmaceutical Company illustrates our ability to resolve challenges within the enterprise market. This new customer was seeking to improve efficiency and accuracy across the record to report processes, and had been delayed by numerous acquisitions, and evaluations of their existing ERP ecosystem. Their desire was to replace their existing technology with a solution that would integrate seamlessly with any ERP without interrupting the closed process. The controller selected our platform because of our best-in-class feature set, ongoing platform evolution, business relationship building, strategic planning efforts, and educational resources. We were able to inspire confidence in the controller, shared services, and IT organizations as a trusted solution for their finance and accounting teams. The pharmaceutical company is focused on automated reconciliation, unified task management, configurable dashboards and our SAP connector. Mid-market companies continue to have a healthy demand for finance and accounting automation. Our modern accounting playbook, or MAP program produced another strong quarter for mid-market new logos and expansion deals. Our MAP program outlines financial transformation path for midsize companies so BlackLine can deliver purpose built solution based on leading practices to unify processes, automate, work and drive visibility. The solutions for the mid-market are starting to resonate outside of North America with increasing traction in certain key markets in EMEA. The addition of AR automation helps to further differentiate our offerings, and the combined value proposition is driving more competitive wins. Overall, we are experiencing increased mid-market sales activity. Another exciting AR automation win in the mid-market was a contract catering services company based in the U.K., that was challenged by highly manual accounts receivable and financial close functions that hindered their productivity and greatly impacted overall visibility. Given this company is in the hospitality space, they were severely impacted by the pandemic. As they forecasted a return to pre-COVID demand, they became acutely aware that their current manual processes would not scale. In Q2, this company became a BlackLine customer by purchasing our modern accounting playbook with cash for application to resolve these time sensitive challenges by the start of Q4, 2021 and future proof their business. This initial purchase will generate immediate results, including reduction in manual AR processes by 85%. Reduction in day sales outstanding by five to 10 days, and reduction in their days to close to five days or fewer. Presented as one solution, our combined financial close and AR automation offering is a critical solution to the office and the Controller and another key differentiator of our value proposition. As such this win represented our largest mid-market land thus far. In key international markets, our momentum continued in the third quarter. Both the European and Asia Pacific regions delivered strong growth and a healthy mix of new logos and expansions. As a result, our international revenue grew 41% in Q3 and is now 28% of our total revenue up from 25% in the prior year. Our success in Europe is exemplified by our long-term and growing relationship with a multinational engineering company, which first became a BlackLine customer in 2018 with the purchase of our close process management solution. In 2020, they initiated efforts to centralize, standardize, and leverage automation across their finance and accounting processes. This prompted the next phase of their BlackLine journey as their controller needed help governing and automating the standardized processes and reducing risks across their close. The controllers primary focus was on their journals process. As our customer success teams work with them, it became clear that they needed greater automation and controls for their intercompany journal entries. In Q3, the company expanded their BlackLine footprint with the purchase of our journals product and our intercompany balancing solution to standardize, simplify and optimize their closed processes. We are in discussions to roll out journals for other business processes and embark on a full intercompany relationship with BlackLine over time. We continue to leverage our partner ecosystem to meet the digital transformation imperative for the back office. The increased partner engagement is evident as our partners were involved in 82% of large deals in the quarter, up from 69% a year ago. The customers planned investment in back office system has driven an improving demand environment. These customer wins stories and our results are strong proof points that we are in the early innings of a long-term growth opportunity fueled by the digital transformation tailwind. We believe that demand will continue to support long-term growth for BlackLine. As we look to capitalize on these favorable market conditions, we are accelerating our investments in three key levers for growth. First, we are investing to increase customer engagement and customer success. For BlackLine, customer engagement is a core tenet of our culture. Our customer engagement team includes over 100 experts specialized in training and educating our customers to better leverage our platform. We believe each of our 3700 plus customers is in one way or another on a journey to transform and improve their financial and accounting processes. While some customers will move faster than others, we are committed to helping each of them achieve success in their businesses. Our leadership position and know-how around foundational accounting use cases help customers define and identify success using BlackLine. We are always working to improve the customer experience, increase the value of our solution, and help companies modernize their accounting back office. We will continue to innovate in this area of our business to drive greater engagement and adoption of the BlackLine platform. Second, we will continue to innovate and expand our platform. We have a clear vision to be the most indispensable platform for the controller, and we have been investing in development resources to advance our platform functionality. We plan to introduce new products in the financial close and accounts receivable automation markets that our BeyondTheBlack event later this month. We remain on track for our cloud migration and as we modernize the product stack, we will be able to take advantage of increased agility and scalability as we move into the Google Cloud. We are very excited about our expanding product portfolio, both from an organic and potential corporate development standpoint. Our third area of investment is to expand in our international presence. In each of the last three quarters, we've accelerated our international revenue growth rate, yet, there is still significant upside available abroad. As it currently stands, our international presence is predominantly in EMEA, with a small but growing presence in APAC. Over the last few quarters, we've seen large strategic deals in key regions in EMEA and APAC. And we believe those success stories will cultivate additional large wins for the region. Our traction in the international markets is also benefiting from our partner ecosystem, specifically our SolEx relationship where we have our products on SAPs price list with their global distribution channel. We've recently enhanced our APAC leadership by hiring a new general manager. We will continue to invest in our teams abroad and leverage our direct and indirect channels to capitalize on the significant international opportunity. These are pillars of our long-term strategy. We've seen early success in these strategic areas, such as enhanced customer value proposition, extended market leadership and expanded global presence. Our performance throughout the year gives us increasing confidence in these multi-year growth levers and our ability to execute on them. Before I close, I want to note the last week marked the five-year anniversary of BlackLine's IPO. We are proud of what we've achieved. And I want to thank our employees, our customers, our partners, and our investors for their roles in contributing to our success. I'll now turn it over to Mark Partin to discuss our financial performance in more detail.
Mark Partin: Thank you, Marc, and good afternoon everyone. As Marc mentioned, Q3 was another strong quarter of execution and continued improvement in the global demand environment, as reflected in our Q3 revenue, profitability and cash flow results. Total revenue grew 21% year-over-year, led by our subscription and support revenue, which increased by 23%. Moving to our key performance metrics for the quarter, we had another quarter of strong new logo ads with 106 net new customers in the quarter bringing the total to 3704 customers. Our strength in the enterprise market generated a record number of new large deals in Q3 as we benefited from digital transformation, our select partnership and continued adoption of our strategic products. Our dollar based net revenue retention rate improved to 108% and that's indicative of strong account growth as customers grew their BlackLine footprint with more products and a record number of additional users. Strategic products represented 15% of sales for the quarter, with over 30% growth year-over-year. Partners were involved in 80% of large deals in the quarter validating the effectiveness of this go-to-market channel and our partner ecosystem. And revenue from our SAP partnership totaled 24% of revenue up from 23% in the prior year. Non-GAAP gross margins remained at 80% within our target range, despite the ramping costs that are associated with the planned Google Cloud migration, and the integration of the Rimilia acquisition. In Q3, we generated non-GAAP net income attributable to BlackLine of $15.1 million. We generated $17.1 million in operating cash flow and $9.8 million in free cash flow, reflecting higher than expected profitability and strong cash collection. We ended the quarter with approximately $1.2 billion in cash, cash equivalents and marketable securities. Now, I will provide guidance within the context of Marc's earlier discussion. Specifically, I echo Marc's statement that we've enjoyed a five-quarter resurgence in market demand. And we expect this to continue into 2022. In response to this demand, we are investing to further prioritize the areas of customer engagement and success, platform innovation and international growth as part of our forward planning. For the fourth quarter of 2021, total GAAP revenue is expected to be in the range of $113 million to $114 million. On the bottom-line, we expect to report non-GAAP net income attributable to BlackLine in the range of 5.5 million to $7.5 million, or $0.09 to $0.12 on a per share basis. Our share count will be approximately 62.4 million diluted weighted average shares. For the full year 2021, total GAAP revenue is expected to be in the range of $423.5 million to $424.5 million. On the bottom-line, we expect to report non-GAAP net income attributable to BlackLine in the range of $37 million to $39 million, or $0.59 to $0.62 on a per share basis. Our share count will be approximately $62.5 million diluted weighted average shares. In summary, we are very pleased with a strong execution we delivered in Q3 and the improving demand environment for finance transformation. We are in the early innings of a significant market opportunity and we believe this market will accrue to the leader over the long-term. As we maintain our focus on customer success and continue to invest in our long-term initiative, we firmly believe that BlackLine is well positioned to capitalize on this trend of accelerated digital transformation and capture the tremendous opportunity ahead of us. And now we'll take your questions.
Operator: [Operator Instructions] Our first question comes from Rob Oliver with Baird.
Rob Oliver: Great. Thank you guys very much. Appreciate it. I had one for Marc Huffman, and then a follow up for Mark Partin. So Marc Huffman, I wanted to drill down into both your comments and Mark comments about the large enterprise deals and the record number of new large deals this quarter. Can you talk about what drove those? I think your commentary, you suggested that we are now through the COVID impact entirely, I just wanted to make sure I understood that properly. And looking at the user adds, which strike me that maybe some of those deals had strategic attach as well. So maybe talk about what the components of those large deals were and what the drivers were, and then I had a quick follow up. Thanks.
Marc Huffman: Sure. Thanks, Rob. A lot of this is demand related and we had -- what I believe is a great quarter and it's widespread. Some of that enterprise work is good execution, coupled with the demand environment, our message, our experience, our brand strength or customer success focus, being leveraged in creating demand in those environments. And then from a demand side, it appears that we're in the midst of a wave of investment and arguably the first and I don't know how long where money is actually flowing into the accounting department. And we think that's the backdrop for some investments who want to make in the future. And we think that this five-quarter trend is going to continue and we're positioned really well to capitalize on it.
Rob Oliver: Got it. Thank you. That's great. And then, Mark Partin just one for you, net revenue retention starting to flow through nicely, up year-over-year we expect that would continue, as you guys are seeing this expansion within your accounts. Gross retention was down just a tad sequentially, you just wanted to see if there was anything to call out there, M&A, or churn or anything around that. Thank you, guys.
Mark Partin: Yes. Rob, you broke up on me for a second net? So I'll answer what I think you asked on the net dollar retention rate ticked up to 108, from 106 in the previous quarter. And what is driving that was a record user expansion count in the quarter. And that's a big lever for digital transformation. And some of these large deals that we were closing. We have been investing in customer success, and account management. And I believe that what we're seeing in the retention rate is, is the value of that investment through expansion in our largest customers.
Operator: Our next question comes from Matt Stotler with William Blair.
Matt Stotler: Maybe one kind of high level on the AR portfolio, and then a quick follow up. So obviously, it's been a key area of investment focus for you guys, the Rimilia acquisition. First, you had the Cash App you released AR intelligence in March, recently announced had a unified platform there. So I guess the first part there would be, can you just talk about, I guess, initial traction, you mentioned some more deals, but maybe more broadly, the traction and how that additional combination is resonating with your customer base more broadly. And then I have a quick follow up after that.
Marc Huffman: Yes. Thanks, Matt. Obviously, follow us and we announced that acquisition about this time last year. And we were very bullish on that acquisition space. Plus some things that we alluded to in terms of the product pipeline, the traction in cash app was good, the demand was strong. We were able to highlight that with our existing customers. We had some nice wins and new customers and found in some segments that the combination of AR plus BlackLine was really very competitive. As we look in the investment, they had some things underway that were innovative, that were completing the platform, then we added to that, and really focused on it this past year. So we go from having cash app, as you mentioned, with some success to that spring release of AR intelligence, which has a great attach rate right now, to having the release that we just issued, which will be one of the highlighted product sections of our upcoming user conference in November, to having six modules unified on one AR platform that spans cash app, credit and risk management, collections, disputes and deductions, team and task management, all brought together by AR intelligence, we're really excited about it.
Matt Stotler: Great. Can't wait to hear more about that on the Black. And then just one quick follow up. Obviously, the uptick in dollar retention was great to see. Early on in the pandemic, one of the things that kind of initially impacted, kind of the performance and the key metrics was some of the relief that you've been providing customers. And it was very much with a mindset that, at some point in the future, there would be some expansion opportunities within that base, and then you spoken with customers about that. As those deals are coming up for renewal, I mean, that's something that you're seeing over the past couple of quarters, is that part of what's driving the net dollar retention and some of kind of positive trends that we're seeing or any comments that you can make on that kind of cohort of customers?
Mark Partin: I can. Yes, thank you. And you're right that over that past year, we were discounting, providing both cash billing and contract relief to customers that needed it in order for them to continue operating on the platform, but to also maintain them as a customer. And we did that and to some great degree of success, I'd like to say, because many of our customers that were impacted industries, were able to continue on. We have now just recently, stop giving that relief, we've not had to do that any longer. And those customers are now starting to lap. It began in Q2, and in earnest in Q3 last year. And we're starting to see those come back to us and those customers will continue to build. But they have stayed with us. And that's been a very positive impact on their net retention rate, because as you recall, it's a trailing metric. And so to the extent that you're discounting and giving relief that was impacting that rate. And so we were very pleased with it, and we believe that our customers and the goodwill that we accrued there will stay with us for some time.
Operator: Our next question comes from Koji Ikeda with Bank of America.
Koji Ikeda: Hey, Marc Huffman and Mr. Partin, nice quarter and congrats on the five year as a public company Marc. I actually think that in today's software market that makes BlackLine a public market, a dinosaur, so congrats on the five years. Couple of questions for me here. Number one, great job on the new deal count, the net new deal count. And more so I think on the size of the new deals that's driving that growth that we see in the model. I guess thinking about the future is Q3 a good example of how we should be thinking about deal volumes and overall size from here.
Marc Huffman: Yes. I can start with that, because that's where we are really investing to get that kind of a profile. We have for the majority of our history, been solving the biggest problems for the biggest companies. And now we continue to build out the platform to be able to give our customers the opportunity to build and stay on our platform and grow into very large customers for a very long period of time. So the Q3, despite being a typically seasonal quarter for us, was indicative of strong demand at the very high-end of the enterprise, where our ecosystem, including the consultants, including SAP, were able to help us bring on very large customers that are going through digital transformation. The key to expansion is in our ability to help customers go on a journey of transformation at the high-end, that will drive that retention rate, expansion on that retention rate, and it will help us bring in large logos.
Koji Ikeda: Got it. Thank you and maybe one follow-up for Mr. Huffman. The commentary on the partner influence ticked up again here to 82%. I guess, what is the right percentage or maybe mix there, in the future for partner influence on these deals? I mean, is the goal 100% or is what we're seeing today kind of considered fully optimized here from the partner network? Thank you.
Marc Huffman: I don't know if it's fully optimized or no. I think 80% is on the strong side of healthy, I think there will always be a population of people who prefer to deal directly with the vendor without any third-party influence, or have some investments already, internally, that are more strategic transformation agents. We've seen some really great customers who have already invested in that internal capability. And oftentimes, that's the capabilities that these big partners bring this sort of really transformative approach to envision to what people should be designing in the long-term. So I like us, at 80%. I think it's a combination of that really strong demand environment, and great execution. If I just sort of add to that Koji in SolEx, we keep track of SolEx wins. In this concept, we have the power of three us, SAP, and these big partners, 90% of our big SolEx deals were using us plus SAP plus a partner, which I think is really at the high-end and optimized as well.
Operator: Our next question comes from Ray McDonough of Oppenheimer.
Ray McDonough: Hi, guys, thanks for taking my questions, two, if I could. Just the first one on AR automation, can you talk a little bit about how far long you are in the process of or maybe getting partners certified to implement the solution at this point?
Marc Huffman: Yes. I'd say thank you for that. I'd say we're early innings still, we have some legacy partners that were from the Rimilia company as an independent organization that has nicely spilled over into those practices, building expertise on BlackLine's, close process automation suite as well. And then, we have early signs of practice building all the typical activities you would see at the onset, enablement, education, awareness, skill, building, et cetera, with our mainstream partners, in the various practices that focus on operational and recorded report areas like AR.
Ray McDonough: That's helpful. And maybe just the follow up, I just want to ask a little bit about some of the recent customer success initiatives you've put in place, specifically extending the MAP program, which was the collaborative accounting experience and optimization academy. What sort of impact that had on I mean your sales cycles, larger deals, implementation times or anything else that we should be thinking about?
Marc Huffman: It's too early to have specific metrics on that, though there are signs that is having a meaningful impact on a variety of things, customer satisfaction, usage of strategic products, some really nice volume, like large scale volume consumption now being driven in some customers across the real strategic products. But it's still pretty -- it's still fairly early. In terms of the time that it takes for these things to impact the practitioners and our customers, them to plan fun and take initiatives. So that Academy that you mentioned, we're just nearing the end of an 18-week curriculum, where we're trying to build transformation practitioners within our customer base. As I mentioned, we're seeing impact on it. I believe that's part of the reason why our customer expansion is happening at the rate it is. And hopefully, that will be the sort of gift that keeps on giving in the future, as we get force multiplication with creating more transformation practitioners in our customer base.
Operator: Our next question comes from Matt VanVliet with BTIG.
Matt VanVliet: Hey, guys. Thanks for taking the question. Nice job on the quarter here. Looking at the SolEx agreement mix, it ticked up higher by about a percentage and would indicate somewhere in kind of the mid 20% growth range on a year-over-year basis. Any reason to think that, that can accelerate further or is there a certain kind of tempo and deal cycle involved with using that many partners, Marc, as you mentioned 90% involving a third partner there and that's just a nice steady kind of mid 20% growth business for some time?
Mark Partin: Well, I'll answer that in two ways. Like we have an aspirational view that their installed base of over 9,000 billion-dollar-plus customers, most of which are not yet our customers. It's a great installed base for them when they're activated to be able to sell and they're operating in many global markets some of where we support and assist and some where we don't. And so when we originally signed this deal several years ago, we knew it would take some time out of the gate to launch and get ramped and build the kind of momentum within a very large partner like that, that it would take to get acceleration. We're starting to see that over the last three quarters. And so where we operated in Q3 is a great profile for us to move forward, but the opportunity to expand that is there. Nevertheless, the other answer for that is it's very difficult to move a company like that in terms of getting our product and the priority at the front of the stack. And so we see some great initiatives from them. We're very active. We've had an incredible engagement model over the last several quarters. So we're going to be cautiously optimistic that SAP will continue to be a growth engine to bring us up and start to accelerate our growth rate as well.
Matt VanVliet: All right, very helpful there. And then on the strategic part -- product side, as you continue to get a larger and larger customer base, should we expect that to continue to see the cross-sell opportunities really kind of accelerate like they did this quarter? Are you putting in programs in place to really highlight and stress the value of those or does it really still come down to the individual sales people really highlighting those benefits to each individual situation?
Marc Huffman: No, it's one of our key strategies towards this indispensable platform that we're working to build to support our customers in their modernization. So there is the collaborative accounting experience that we operate is just that. It's leading practices, proven methods, pre-built workflows in the software that take people through the automation that is led by those strategic products. They are introduced at the right stages at the right time based on our experience with clients' journeys. And it's a great example of some of the initiatives, and we'll continue to invest in those things, because we believe the depth and breadth of our capabilities plus our experience is really what's indispensable to people. Of course, on a given quarter and especially in a quarter like we just had where the demand environment was so strong, there is widespread performance and execution in our business, the percentage of strategic products is going to bounce around, but it will be for the foreseeable future, one of those things that we're really attentive to and focused on executing.
Operator: Our next question comes from Pinjalim Bora with JPMorgan.
Pinjalim Bora: Hello, hey. Thank you so much for taking the questions and congrats on the quarter. Marc, I wanted to ask you about RPA. How do you view -- I mean, whenever we talk to RPA vendors, they highlight a bunch of finance transformation use case. They're probably pretty concentrated in some of these finance transformation use cases. So I wanted to ask you how do you view it with respect to BlackLine, right? Is that complementary side by side essentially for you? Do you see it as a competition at times, and do you envision building RPA capabilities in-house or mainly partner?
Marc Huffman: There's a lot there, so I'll try my best to get to it all. My first reaction to that is the way you described it in terms of transformation, I think the RPA vendors are trying to take some liberty with the word transformation and what they're doing. Some of what they're doing is quite complementary to what we're doing. They're taking a repetitive task and they're trying to drive it with machines versus human being. So they're removing the burden of manual work that goes on and a lot of it still goes on in a lot of accounting departments. We are doing the same thing, but from a very, very process-specific means, purpose-built means, meaning that it's done inside our application and in the platform, so as environments change over time that everything just sort of seamlessly works and you don't have to go back and reprogram those things. As to your question to the future, are we going to build in RPA? No. We're headed towards this environment where we manage the operations in finance and accounting through a centralized place, much like an RPA vendor would or workload vendor, but it's specifically closely coupled to manage the close, manage the AR work that we're doing with clients, manage the intercompany work that we're doing with clients and giving controllers and Chief Accounting Officers and their workforce the chance to control other parts of finance and accounting using workflow and RPA-like capabilities, but purpose-built.
Pinjalim Bora: Right, understood. One quick follow-up for Mark Partin. You have kind of talked about demand coming back, I think you said it exceeds the pre-pandemic level at this point in time. So help us understand how should we think of billings going for Q4? I think your revenue guide into somewhere in the high-teens, directionally billings outpace that revenue growth in Q4?
Mark Partin: Oh, well, on a quarter-to-quarter basis, it's going to vary, that's just the nature of the business and deal flow. So I would never put any stock into any one specific quarter. You want to look at a trailing 12-month to get a better view of go-forward growth and the business. Having said that, Q4 is also a quarter where we'll start to lap the Rimilia acquisition that landed at the beginning of the quarter, tougher comps from last year, where we started initially, Q3, Q4 last year started to see improvement in that demand environment. And so that's going to impact a single quarter billing. However, going forward, the level of investment is to maintain and to drive billing in ranges where we've seen in the last several quarters, because we do expect the demand at the very high end especially to be there. And so when you are at the high end and you are working with large customers and large deals that will have a single quarter impact, but over the long-term, it will start to flow and drive growth.
Operator: Our next question comes from Terry Tillman with Truist Securities.
Connor Passarella: Hey, guys. This is Connor on for Terry. Thanks for taking the question and congrats on the quarter. Just one from me. Trying to touch on our international performance, so in terms of your international performance, it's really great to hear about the success here. I'm just curious as to what you're hearing from customers abroad and maybe what emerging trends you're seeing in terms of adoption from specific regions? Thanks, guys.
Marc Huffman: Yes. Our success internationally was, I would say, fairly widespread and is represented by an increasing growth rate in international and making up more of our overall revenue profile. So I can't point to a red hot region or one that's lagging. It's fairly widespread, which is assuring and it just appears to me that the international business is -- will follow patterns that we saw in the North American business. They're just -- the North American business was a little earlier on the adoption curve and uptake in modernizing their accounting. We're now seeing some of the same trends we saw develop in North America hit the international businesses and hence our commentary about that being one of the areas we're going to invest going forward. We see tremendous opportunity in international. We see this demand environment sprinkling and cross into all buckets internationally and we are prepared to capitalize on it.
Operator: Our next question comes from Brent Bracelin with Piper Sandler.
Unidentified Analyst: Hi, this is Marlin [Ph] on for Brent. Thanks for taking our questions. So one thing that stands out here is continued strength in subscription, and it looks like another quarter of acceleration there. Could you help us understand where the biggest drivers for that segment are coming from? And then maybe your thoughts on how we should think about that going forward? And then I'll have one follow-up.
Mark Partin: Yes, yes, great. And you're right. Subscription revenue has grown every quarter for the last three or four quarters and that is specifically coming out of the pandemic demand driven. So you've seen it first in the billings and as we've built over this last several quarters, we've seen that acceleration in subscription revenue. What is driving that, not just in Q3, but in previous quarters, are large deal -- large deals coming from digital transformation projects that are picking up strategic products on a year-to-date at around 18% of sales. It's record user expansion in those same customers in the last two quarters, which is driving that retention rate up two points from 106% to 108% coming out of the pandemic. And it is -- honestly, we had a very sort of healthy robust growth across all aspects of the business, international, mid-market and enterprise. And so it was a very exciting quarter for us. And that's what will drive that subscription revenue up.
Unidentified Analyst: Great. Got it. And then secondly, jobs data that we look at points to some large enterprises like Apple that might be looking to transform their global finance functions. And it'd be great to get some color on what the pipeline -- the pipeline for enterprise customers looks like? And then when it comes to these larger Fortune 100 companies, who would be the primary competitors that you see there? Thank you.
Marc Huffman: Well, we have a great share of the Fortune 100, really strong share. And so in terms of companies that have not yet standardized on a platform, oftentimes we're in their sole source. But many of those organizations are large distributed ERP environments, and so they don't generally turn to their ERP provider looking for solutions, they rather turn to third parties. And there's BlackLine with the most experienced, most customers, et cetera. We do have a legacy competitor that we see in those places, but we -- as evidenced by the share that we have in those customers, we continue to succeed, be the primary platform of choice for them and continue to take customers from that particular private competitor.
Operator: Thank you. Our next question comes from Alex Sklar with Raymond James.
John Messina: Hi, thanks for taking the question. This is John on for Alex. Marc, I have a quick question here. We've seen a lot -- and we have a lot of customers, private company customers here, but I'm curious if the pickup in IPOs and SPAC activity has driven higher demands in terms of companies that are preparing to go public, wanting to drive a more rigorous financial close process, any color there?
Marc Huffman: Sure. So there is obviously a lot of trigger events and catalysts for demand. There is broad macro environmental demand that we're seeing. There is receptivity that we see with our experience in our modern accounting playbook, the methods, the well-worn path that we have for clients, lower risk, greater -- reduced time to value that is resonating. And I believe that we get our fair share of well-funded fast-growing companies that are grooming themselves or organizing themselves in a way for more scrutiny like the public markets or other investment, and that's clearly a driver for us as well.
Operator: Our next question comes from Pat Walravens with JMP.
Pat Walravens: Oh, great. Thank you. Hey, so, Marc, as you guys get ready for 2022, what are the top two or three priorities that Mark Woodhams has to get done in the sales org?
Marc Huffman: Well, specifically, the three biggest things that I'm focused on, I'm sorry to take liberty with your question, Pat.
Pat Walravens: No, that's right, either way.
Marc Huffman: And they in -- they were in my prepared remarks, but we're investing in our business. We think the macro environment is just ripe for investment in growth and capitalizing on our leadership position. So we're focused on customer success, innovation on our platform and international. If I would take it down to Mark Woodhams, he's adding capacity, he's adding distribution capacity to capitalize on that specifically to leverage a couple of things. We believe we've got a great opportunity in strategic products, specifically the AR products combined with the rest of our platform. So he is making some nice investments in there, making sure that we capitalize on those things and he is also heavily invested in international growth.
Pat Walravens: And so on the AR side, does it require a different skill set, a different type of rep or what does it require?
Marc Huffman: Well, it -- we have people in our organization who are clearly capable of selling the AR solution. We have augmented our distribution organization by having product expertise, both from a hire from competitors, taking people who have sold in that environment into our environment. And then on top of that, part of the secret sauce at BlackLine is having professionals, who actively has transacted and worked in the environments that we are sort of modernizing. And so much like we have a bunch of expertise in our pre-sales organization or distribution organization that have closed the books or worked for an auditor or something, we have started to acquire accounts receivable, transaction-related expertise. So people can sort of show people what it's like to move from manual to modern.
Operator: I'm not showing any further questions at this time. I'd like to turn the call back over to Mr. Marc Huffman, CEO for closing remarks.
Marc Huffman: Thank you. First of all, I'd like to thank our employees. We had a great quarter in Q3 and we've had several quarters of great execution. They've stayed focused on one another and they've stayed focus on our customers and we're all very appreciative of the work that they do for us. I want to remind everyone that we'll host our 2021 digital version of BeyondTheBlack event on November 16th through the 18th. It's a three-day event, will include keynote, breakout sessions, consisting of more than 50 hours of content to help users resolve some of the challenges of digital finance transformation. And although, the event is primarily for customers and prospects, there are certain sessions that will be particularly interesting to the financial community. We appreciate everyone's ongoing support of BlackLine, and as established by our founder, Therese had asked to remind you all to refer to your portfolio companies or companies that you come in contact with who are looking to modernize their environments to send them to BlackLine. We're excited about the future opportunities of our business and accounting transformation and we look forward to talking with you later on. Thank you.
Operator: Well, ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.